Operator: Good afternoon. My name is Zen and I will be your conference operator today. At this time, I would like to welcome everyone to the Carlisle Companies Second Quarter 2021 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers remarks, we will conduct a question-and-answer session. I’d like to turn the call over to Mr. Jim Giannakouros, Carlisle's Vice President of Investor Relations. Jim, Please go ahead.
Jim Giannakouros: Thank you, Zen. Good afternoon, everyone, and welcome to Carlisle's second quarter 2021 earnings conference call. We released our second quarter financial results after the market close today and you can find both our press release and earnings call slide presentation in the Investor Relations section of our website carlisle.com. On the call with me today are Chris Koch, Chairman, President and Chief Executive Officer; and Bob Roche, our CFO. Today's call will begin with Chris discussing business trends experienced during the second quarter of 2021, views of what's to come and context around our continued progress toward an unwavering commitment to achieving Vision 2025. Bob will discuss the financial details of Carlisle's second quarter performance and current financial position. Following Chris and Bob's remarks, we will open up the line for questions.
Chris Koch: Thanks, Jim. Good afternoon everyone. And thank you for joining us on our second quarter 2021 earnings call. While we recognize that there are still many people suffering from the continued effects of the pandemic globally, and in an even recover, we hope all of you your families, co-workers and friends are healthy and you're reengaging as global economies open. I'm also pleased to report Carlisle’s COVID-19 infection rates approach zero in the second quarter, which wouldn't have happened without our team strict adherence to our safety protocols, and commitment each other across our global footprint. I'm also very pleased that Carlisle’s performance continues to strengthen as we further accelerate into the economic recovery/ Please turn to Slide 3. Vision 2025 has provided the clarity and consistency of direction that proved to be essential in guiding our efforts during the depths of the pandemic last year. It continues to guide us today as we seek to leverage a proven demand across our end markets in 2021 and beyond. Vision 2025 provides Carlisle and our stakeholders a clear and direct vision that unites us in a collective goal, which in turn drives our priorities in everyday actions. We are very much on track to exceed the $15 of earnings per share targeted in Vision 2025. Our performance in the second quarter of 2021 illustrates our continued solid execution towards our stated goals. Several highlights of this continued progress include CCMs, continue to rebound and sales from the bottom of the pandemic in the second quarter of 2020. As a reminder, CCM sales were down approximately 20% in the second quarter of last year. As we entered the third quarter of last year, we had already begun to see improvement sooner than many industries and that has continued sequentially through today. That positive momentum drove 28% organic growth year-over-year at CCM in the second quarter of this year and added to a significant in growing backlog.
Bob Roche: Thanks, Chris. As Chris mentioned earlier, we had a very solid second quarter. I'm especially pleased about the margin expansion of CCM, CIT coming-off market lows and position to deliver sequential growth in the next few quarters. CFTs order book improving our disciplined approach to capital deployment in the form of share repurchases and dividends continued investment in our high ROIC businesses to drive organic growth. And our portfolio optimization actions including the vesting CBF and the announced agreement to acquire Henry Company. Please turn the revenue bridge on Slide 8 of the presentation. Revenue was up 22% in the second quarter driven by CCM and CFT offset by the well documented commercial aerospace declines at CIT. Organic revenue was up 20.7%. CCM and CFT each delivered greater than 25% organic growth in the quarter. Acquisitions contributed 0.4% of sales growth for the quarter and FX was a 90 basis point tailwind. On Slide 9, we have provided and adjusted EPS where you can see second quarter adjusted EPS was $2.16 which compares with $1.95 last year. Volume price and mix combined were $1.30 year-over-year increase. Raw material, freight and labor costs were $0.95 headwind. Interest in tax together were a $0.01 headwind. Share repurchases contributed $0.07 and COS contributed additional $0.12. Higher OpEx was a $0.32 headwind year-over-year half of which is related to the May vesting and cash settlement of stock appreciation rights granted to all Carlisle employees outside of the U.S. in 2018, with the remainder reflecting the resumption of more normalized expense level versus last year's cost containment measures taken in the depths of the pandemic. Now let's turn to Slide 10 on the second quarter performance by segment in more detail. At CCM, the team again delivered outstanding results with revenues increasing 27.5% driven by volume and price along with 70 basis points of foreign currency translation tailwind. All of CCMs product lines deliver 20% growth with particular strength and architectural models and spray foam insulation. CCM effectively managed raw material inflation headwinds experienced in the quarter with discipline pricing for active sourcing and allocating products to strategic customers. Adjusted EBITDA margin at CCM was 21.5% in the second quarter, a 60 basis point decline from last year driven by higher raw material prices partially offset by volumes price and COS savings. Despite raw materials being a headwind in second quarter, we continue to anticipate, net neutral price raw’s for the full year. Adjusted EBITDA grew 24% to $201.2 million again demonstrating the earnings power of our CCM business. Please turn to Slide 11, CIT results. CIT revenue declined 8.2% in the second quarter. As has been well publicized, this decline was driven by the pandemics continued impact on commercial aerospace markets. We still anticipate a prolonged recovery in aerospace but are optimistic there will be resumption and growth as we enter the second half of the year. CIT’s medical platform continues to build a robust pipeline of projects with an increasing backlog. We continue to expect sequential improvement from pent-up demand as the impacts of COVID on hospital CapEx and postponed elective surgeries ease. CIT’s adjusted EBITDA margins decline year-over-year to 8%, driven by commercial aerospace volumes, partially offset by price COS and lower expenses. Given the positive indicators, we are optimistic that CIT will deliver sequentially improving financial performance into the second half of 2021. Turning now to Slide 12. CFT sales grew 54% year-over-year, organic revenue improved 44.3% and acquisitions added 3.6% in the quarter, FX contributed 6%. CFT is well positioned accelerate through the recovery due to continued stabilization in key end markets driven by an improved industrial capital spending outlook in 2021 coupled with new product introductions, would have included $4.1 million of incremental new product sales in 2021 year-to-date, along with our continued pricing result. Adjusted EBITDA margins of 15.9% or over 100 basis point improvement from last year. This improvement primarily affects volume pricing and mix. On Slide 13 and 14, we show selected balance sheet metrics. our balance sheet remains strong. We ended the quarter with $713 million of cash on hand and $1 billion of availability under our revolving credit facility. We continue to approach capital deployment in a balanced and disciplined manner, investing in organic growth through capital expenditures and opportunistically purchasing shares, while also actively seeking strategic and synergistic acquisitions. In the quarter, we repurchased 643,000 shares for $116 million bringing our 2021 year-to-date total to 1.6 million shares for $266 million. We paid $28 million of dividends in the second quarter bringing our ‘21 total to $56 million. We invested $32 million of CapEx into our high returning businesses to drive organic growth bringing our 2021 total to $55 million. A few examples of these investments include our new Missouri polyiso facility, expansion of our TPO line in Carlisle PA and investment in our spray foam capabilities in Cartersville, Georgia. In addition, and as has been noted, we announced an agreement to purchase Henry Company for $1.575 billion. Henry generated revenue a $511 million and adjusted EBITDA $119 million representing a 23% EBITDA. Additionally, Henry expected to deliver $100 million of free cash flow in our first year of ownership. We also expect meaningful cost synergies of $30 million by 2025. Finally, we expect Henry to be immediately accretive to Carlisle’s EBITDA margin adding over $1.25 of adjusted EPS in 2022. Free cash flow for the quarter was $64.6 million a 54% decline year-over-year due to increased working capital usage related to our high sales growth of 22%. Turning to Slide 15, you can see the outlook for 2021 and corporate items. Corporate expenses now expected to be approximately $125 million up from the previous estimate of 120. The increase is wholly related to the vesting in cash settlement of our stock appreciation rights discussed earlier. We expect depreciation and amortization expense to be approximately $210 million. We still expect free cash flow conversion of approximately 120%. For the full year, we continue to invest in our business and expect capital expenditures approximately $150 million. Net interest expense is still expected to be approximately $75 million for the year. And we still expect our tax rate to be approximately 25%. Finally, restructuring is expected in 2021 to be approximately $20 million. And with that, I'll turn the call back over to Chris.
Chris Koch: Thanks Bob. Entering the third quarter we continue to be very optimistic about the remainder of 2021 from record backlogs at CCM to supportive trends and CIT aerospace markets to growing strength at CFT coupled with excellent sourcing and price discipline and significant traction on our ESG journey. We're confident in our ability to deliver solid results for all Carlisle stakeholders. For full year 2021, we anticipate the following. At CCM as previously mentioned the trends that began in Q3, 2020 gained momentum as we moved into 2021. We anticipate this momentum to carry over in the third and fourth quarters of 2021. Considering this momentum coupled with record backlogs stemming from project deferrals that occurred in 2020 positive momentum in our newer businesses of architectural metals and spray foam and expansion of our European business, we are increasing our anticipated revenue growth to high teens in 2021. At CIT, we are encouraged by leading indicators trending positive, but it remains difficult to gauge when a complete recovery and commercial aerospace will occur. Given a very difficult year-over-year comparison in the first and second quarters, we continue to expect CIT revenue will decline in the mid-to-high single-digit range in full year 2021. At CFT, with end market strengthening and improvements in the team's execution of our key strategies. We now expect mid-teens revenue growth in 2021. And finally for Carlisle as a whole, we are now increasing our expectations to mid-teens revenue growth in 2021. As we pass the midpoint of 2021, we are tracking to deliver our Vision 2025 goals of $8 billion in revenues, 20% operating income and 15% ROIC all driving to exceed $15 of earnings per share by 2025. Despite lingering uncertainties around COVID supply chain constraints and what we perceive as near-term raw material inflation. Carlisle's employees across the globe remained focused on the execution of the strategies and key actions that support Vision 2025. Our team continues to embody a positive and entrepreneurial spirit, a commitment to continuous improvement and a focus on delivering results for the Carlisle shareholder. Given our 100-year plus history and the resilience this company has shown in times of adversity and uncertainty, we remain confident in Carlisle's outlook, our strong financial foundation, cash generating capabilities, unwavering commitment to our Vision 2025 Strategic Plan, and to providing products and services essential to the world's needs. This concludes our formal comments. Then we're now ready for questions.
Operator:  Your first question comes from the line of Bryan Blair of Oppenheimer.
Bryan Blair: Thanks good afternoon guys.
Chris Koch: Yes, good afternoon Bryan.
Bob Roche: Bryan.
Bryan Blair: Great performance in CCM, we actually were flirting with normal seasonality sequential seasonality, which I didn't think was possible?
Chris Koch: Yes.
Bryan Blair: Given the supply chain constraints that the EU called out and that are so pervasive, to what extent did raw material availability freights, no other constraints, impact CCMs ability to meet demand in the quarter?
Chris Koch: Well, as we discussed, the team did a great job managing it, I don't think it really impacted their ability to beat the demand that was present in the quarter. Obviously, the surge in orders, takes into account some orders that are for the third quarter and fourth quarter, and we continue to work to fulfill all those but the team did a great job in meeting all the demand that was put to it in the second quarter.
Bryan Blair: Understood. And thinking about the third quarter, are there any incremental watch items in terms of the listed constraints that we think about in terms of CCMs ability to meet demands and an extension of that? What kind of growth rate are you assuming as we bridge to the pipe teens guide?
Chris Koch: Yes, Bryan , we don't see -- I mean again, there's a lot going on in the world with Delta variant and everything else. But we don't see a lot of changes from what happened in the second quarter going into the third, we would expect raw materials to -- I'm going to say loosen up a little they've been loosening up since the beginning of the year more and more since the problems in Texas and the freeze and everything. So we can -- we see that continuing slightly. So we don't see a lot of watchout items on our list and we'll be going in today. We'd expect I'm going to say normal growth, you expect third quarter to be somewhat higher than the second quarter. So I think the growth rate will continue going into the third with normal -- like you said, normal seasonality where third quarter is larger than the second. And then shrinking a bit in the fourth as always happens into the winter months.
Bob Roche: Yes. And Bryan, I would just add one thing that I think we -- the results were encouraging. And it's interesting to talk about normal seasonality. But we really are still in the midst of an extraordinary time just as impactful as going down was last year into the declines we had I think coming back has been something that is not normal. And I think the CCM team has done a superb job of managing through all of that, like you said, and getting close to normal seasonality, but we still want to communicate the fact that it's a very difficult environment, throughout the business from supply chain all the way to order entry as we discussed.
Bryan Blair: Completely understood. One last one for me. In the revised high teens sales growth guide for CCM. How should we think about volume first price contribution for the year?
Chris Koch: Yes, Bryan, that's mostly going to be price, but there is some volume increase in there as well.
Bryan Blair: Okay, so the step up from low double-digits to high-teens is mostly price?
Chris Koch: Yes mostly price as raw’s continued to increase we -- as discussed needed to continue to increase price to keep up with that. Got it.
Bryan Blair: Okay, thanks again.
Chris Koch: Thanks, Bryan.
Operator: Your next question comes from the line of Tim Wojs of Baird Equity Research.
Tim Wojs: Good afternoon.
Chris Koch: Good afternoon, Tim.
Bob Roche: Hey Tim.
Tim Wojs: Nice work. I guess, first question, could you just talk a little bit about how you're managing the backlog just there's chatter that like people are double ordering and trying to get products from anybody they can. So how are you kind of controlling that just to make sure that you actually have real backlog?
Chris Koch: Well, certainly we can't -- we don't know, because we don't have a customer's mind as to what's a real order, what's not a real order, we treat all orders the same and then what we're really doing is just prioritizing them based on the necessity of shipping. And in addition to that, obviously, customer, existing customer that's been a longtime customer for Carlisle is going to be prioritized over someone that's being opportunistic. So I think, again, we're doing a very rational way. we're attempting to maintain that Carlisle experience and ensuring that the contractors in needed have that product there and making sure that we're not having any inventory or products sit around somewhere on a job site or in a warehouse but that people that need the product put on the roof or getting it done and I think the team's doing good job of that, but obviously that involves a lot of work that involves a lot of heavy lifting on the part of the sales force on the part of customer service to coordinate a lot of work there. So I think as we -- to your point on the extra ordering as we get through the year, we don't see it impacting the projections that we've made, that will sort itself out, as we begin to -- continue to fulfill these orders. And then I'd say just we'll check in as we get closer to the winter, and we'll know where we are. So as I mentioned, to Bryan, it's such a evolving environment and this recovery has been so rapid and the demand has been -- in a lot of industries so strong that like to just focus on the near-term and make sure again that we're delivering on that Carlisle experience for the contractor that needs it today.
Tim Wojs: Okay. Okay, good. And then I think you guys are definitely taking share, where would you kind of peg the market at relative to your high-teen sales growth? And I guess, what's your confidence that once some of these supply chain issues settle down that you can hang on to some of that share gain longer term?
Chris Koch: Well, I'll take the last one first. I think we view these last year and this year, these disturbances these really trying times as opportunities and probably the best opportunity for contractors, distributors, end users architects to see the really true Carlisle experience and the work that our team does. I mean, when everything's going smoothly, understand that how powerful that experience is. And so what I would hope is that as we are introduced to new customers, as people that are with other suppliers decide to try Carlisle, that they are overwhelmed by the experience and decide to make that permanent shift. Is that always occur I can't tell you what level of people, or what percentage of the people that get material from us for the first time stay with us. But my guess is that it's contributed to our growth over the last few years and will contribute -- and we'll continue to do that. So that's our goal, continue to perform well continue to perform better than anyone else and make sure that people see that and want to be part of that team. I think the other -- on the other side, the growth side, Bob may have some comments on that. But I think that the industry right now and the recovery probably market shares have not moved much relative overall demand, just because demand has been so heavy. So again, what I would look for is to run through the year. Let's sort out those orders you talked about that there may be some over ordering and then get into 2022. Hopefully, we'll have a more normal year. And then we'll be able to assess our progress versus the industry and versus our competitors. Bob, do you want to add anything?
Tim Wojs: Okay, good. Well I hop back in queue. Thanks, guys.
Chris Koch: Yes, thanks Tim.
Bob Roche: Thanks Tim.
Operator: Next question comes from the line of Joel Tiss from Bank of Montreal.
Joel Tiss: Hey, guys, how's it going?
Chris Koch: Hey Joel.
Joel Tiss:  All right. So I'm going to switch gears a little bit. I wonder it's kind of an off the wall question. But you think it wouldn't make any sense for you guys to think about like spinning out everything that's not CCM that would kind of accelerate your move to 2025 maybe not on the revenue side, but certainly on the margin side?
Bob Roche: Well, I don't think it would make any sense right now. And no reason I say that is I think that certainly valuations would be very hard to find evaluation from a purely pragmatic perspective on any business given, CCMs declines and given the fact that CFT is not probably reached its full potential after the years of work we put into it, but there's still more to come. So, what I would -- yes, I would just say that's probably not a thought of how in our mind, I mean, we want to continue to boost the building products portion of our business around CCM, adding Henry does that that gives us a lot to digest and to focus on. I think we wait till things get through the sustainable growth recovery that -- and runway that we see and CIT and CFT. And then Joel as we've always done, we just assess the portfolio and I think that's something that's gone back long as I've been at Carlisle everything from divesting of Carlisle tire and wheel motion control food service and making additions like Accella, Petersen and that we're always looking at the portfolio and obviously we make all our decisions based on what's best for the Carlisle shareholder. So it's something we always look at, but I don't see any actions in the near-term.
Joel Tiss: And then as you build-out your you're building envelope and it's starting to get pretty serious. Is there any way or to team up with like a carrier or train or someone who is doing sort of building assessments to help the buildings get more efficient and lower their costs and all that? Is there any way to team up with those guys to get like spec-ed into being part of that energy audit and helping them get to their goals?
Chris Koch: Sure. And I think -- I don't know about those two companies in particular, but I do know that every day our teams in CCM through their connections with the industry organizations through their connections to architects through large building owners people who are putting in warehousing, data centers, things like that, you can't help but think that as ESG, as energy efficiency becomes a bigger priority for all those end users and building owners that they're going to almost drive cooperation. So that we're getting -- we're making sure that as we're putting on that building envelope and ensuring that it's a -- it's got great insulation, vapor, water, air barriers, things like that, that they're also asking, the provider of that energy, and if it's either heating and cooling, to participate and have some coordination, I think a lot of that occurs at the design level with architects and specifiers. And, as we mentioned, both with Carlisle and with our Henry team, they're going to spend a lot of time with those organizations. So I think you're on the right track. I just -- I can't comment on carrier train, because I just don't know, but I would imagine those conversations are being had.
Joel Tiss: Well, that's great. Thank you very much.
Bob Roche: Thank you Joel.
Chris Koch: Thank you.
Operator: Next question comes from the line of Saree Boroditsky of Jefferies.
Saree Boroditsky: Hi, good afternoon.
Chris Koch: Good afternoon.
Saree Boroditsky: Within CIT, could you talk about what you saw in the quarter from medical versus aerospace? And then how do those growth rates are expected to look for the remainder of the year? And then any color as we start to think about 2022?
Chris Koch: Yes, I think the last one first Saree. I mean, I don't think we're ready to talk about 2022 yet now, certainly, we expect growth at CIT and continued ramp in our profitability. But we're a long way from what's going to happen with aerospace getting into 2022 at this point in time. Medical versus aerospace in the quarter, were almost the same decline. And that's largely due to the massive orders or I’m going to say, revenue we saw last second quarter remember, we talked about a big spike in orders, when COVID hit in shipments in the quarter so -- in medical. So that's why it was relatively flat, but we expect acceleration, faster acceleration in medical going to the end of the year than we do in aerospace, but we expect some growth in aerospace.
Saree Boroditsky: Got it. And then you raised the outlook for CFT could you talk about the outlook for industrial CapEx and projects. What are you hearing from customers? And then again, I'll just ask, should this strength continue as you think about going into next year?
Chris Koch: We -- I think we see the industrial space continuing to improve out of the depths of 2020 and improvement in production. And, that I think the other thing that I would remind you, as you know, CFT, we did have some difficulties when we first bought that business, and then we're sharing losses. And I think part of the gains are getting back what is what I would call their rightful share through their innovation, and new products and really good work by the teams and communicating the value proposition. So I think it's a combination of that, that markets are improving industrial markets are improving. We think they'll continue to improve globally as we go throughout the year. And then I think there's a piece of that too. That is just CFT getting its stride back and becoming a solid Carlisle Company, Bob you want to add anything?
Bob Roche: No, that was clear Chris.
Saree Boroditsky: Thanks for taking my questions. I'll pass it on.
Chris Koch: Thanks, Saree.
Operator: Next question comes from Kevin Hocevar of Northcoast Research.
Kevin Hocevar: Hey, good afternoon, everybody. nice job there. Chris, I'm trying to wrap my head around one of the comments you made I think in your prepared remarks, I think you'd mentioned in the CCM business, you'd receive 65,000 orders in the quarter, which is double the usual amounts. I guess I'm just trying to understand what that means I mean is that again a sign that there's some double ordering going on is that maybe distributors trying to build some inventory even maybe contractors get some product on the job site even if they don't need it yet just because things are so tight. Is it backlogs building in a pretty material way I guess and does that mean there'll be less orders in the third and fourth quarter? Is it some panic buying? I guess I'm just trying to understand because that seemed like a pretty interesting stat that got my head around. I am curious if you could just elaborate on that a little bit?
Chris Koch: Yes, well, I think one of the things that we probably will need to do later is give the reference point in 2019. Because without that reference point, double the previous period you don't have a good reference for where we were in 2019 to gauge that. I think the other thing is on the double ordering. I'd be careful about that because as we know last year people were not ordering, we talked at length about how distribution going into the season had cut back on orders, people were concerned about where they'd be on the job. I mean, it was only a year ago, that States like Pennsylvania and cities like Boston weren't allowing contractors on the job site. In certain cases, they were increasing the PPE and the other protocols making more difficult. We were having inspections occurring virtually, it was hard to get permits pull, because governmental agencies were shut down. So when -- and we think that now we're in the second quarter, but you have to remember that was some of that stuff there was still concerned in the first quarter, that things were happening. And we did get ahead of it in production, as we mentioned, we got to have in our pricing, but there's still some lag there on the market until the confidence came back to the contractor and the -- distributors that would be able to function somewhat normally. So I think there is a surge there. And I think a lot of those orders, I have no reason to believe that most of them actually occur the quarter aren't real. Because I do think there's pent-up demand, people were waiting. And that's what we talked about as demand and continue to build. And if you think about even not including 25% of the orders in a year and letting them build in the back half of 2020 and then the first quarter of 2021, one would expect a pretty substantial surge in the second quarter of this year, and then we'll just need to monitor and we get to this third quarter of this year, it'll be -- we can do that same check and then have a comparison because we'll have been through the heavy and last part of the season getting into the winter months. So don't read too much into it other than demand is strong. And we are coming out of this pandemic strong and people are gaining confidence. And they're placing orders and they're getting back on the roof. And they got a lot of backlog to make up.
Bob Roche: Yes.
Kevin Hocevar: Yes, okay. That's helpful. And in terms of the increased guidance, just one quick question there that so the low double-digit, the high-teens increased in CCM. And it sounds like the majority of that is pricing, is that pricing increase based on what you've currently kind of realized between price increases that have already taken effect or I know, there's also like an August increase you have out there for a lot of roofing products. Is there some assumptions of future pricing as well baked into that guidance?
Bob Roche: No, that includes obviously the announced price for August, but no, nothing beyond that at this point.
Kevin Hocevar: Okay, got you. And then just last question, what was -- in terms of the price cost dynamics? What was that in the second quarter? And it sounds like the expectation is a continuation of neutral for the year, so is there any change in the expectations of three -- I mean, obviously, there's been a lot of moving pieces since three months ago, in terms of the inflation expectations and the pricing expectations. So but maybe it is the kind of the trajectory sounds like might not be the expectation of the net of that might not be all that different. But yes, curious, what was in the quarter and then kind of the -- how you see that playing out the balance of the year?
Chris Koch: Yes, certainly the net’s, not different. But certainly with our increase in revenue based on price, we've gotten a lot more cost pressure and assumed a lot more price traction over the last three months, as costs have continued to rise and be up there we are a lot more confident that we need the price to cover it. Q2 was about $25 million negative as we expected and we expect to make that up in the second half of the year more in the fourth quarter, in the third quarter, but positive in both those quarters to make up for what we were short this quarter.
Kevin Hocevar: Okay, our Thank you very much.
Chris Koch: Thanks Kevin.
Bob Roche: Thank you.
Operator: Next question comes from the line of Garik Shmois of Loop Capital.
Garik Shmois: Thanks for taking my question. Chris, just curious you made a comment in your prepared remarks around allocating products to strategic customers or just wanting to get a spin on that is it really more of a function that because you're effectively at full capacity, you can be selective and service or I guess higher margin higher quality customers or any kind of additional color that or comment would be helpful?
Chris Koch: Yes, I think that our customers, we have some lot of very loyal customers that work very hard to make sure Carlisle is specified and chosen throughout the world actually and we don't want to make decisions in a quarter and we want to have share gains, but we want to make sure that the work we're doing with people, because it is pretty extensive, we spent a lot of time working with our contractors on things like warranty inspections and on helping prepare quotes in that that we always want to strategically give our efforts to those distributors, contracts and those that are with us and for the long run and have invested significantly in the Carlisle brand. So I don't think it's anything. While we stated I don't think it's anything other than our normal practice there that, we expect a lot out of our partners and they would expect a lot out of us in terms of loyalty as well.
Garik Shmois: Okay, thanks. And just on the building envelope business, you called out spray foam, metal roofing growing over 40% in the corner sounds like that the entire building envelope business was up over 20% in the quarter. What's the outlook there? I guess what I'm asking, given that business has been more exposure to housing, is there any pause that you might be seeing at all just with the pause in new housing just given the escalation in the market and the builders pulling back a bit, any help on the building envelope side will be helpful?
Chris Koch: I think on the metal side, Peterson is a pretty much a commercial metal business. And I think there we're seeing a lot of movement into metal as it becomes architecturally more attractive as it has some renewable and recyclable aspects to it. We're just finding, it's gaining traction, there's some very positive trends there. And Peterson has done an excellent job of adopting the Carlisle experience, which they probably call it the Peterson experience before and, but it's a great brand with great coverage and good relationships and on the Drexel side, which is a little bit more on the residential side again, we're seeing people are choosing metal roofs in a lot of cases, there's more interest in Drexel has a very unique value proposition where they are actually preparing that work right on site and driving a lot of value. So is that team gets out and demonstrates a value proposition they're gaining a lot of traction. On the spray foam side, we originally bought a cell we talked about that high single-digit industry growth rate as people would adopt foam as a far superior insulator and some in certain cases, vapor barrier components to it. And what we're really seeing is that continued traction versus other forms of insulation and certainly here in the southwest with the heat and even in the north. I know being from Minnesota and live in the Arizona, spray foam insulation just provides a superior solution for the space in the wall cavity. And it just drives great performance and we see it just continuing to gain share in the marketplace. So I think the trends are positive for both. And then we on top of that we're adding very positive unique value propositions with this business. And I would be remiss if I didn't say that the partnership between CFT with their newly launched spray foam equipment which provides superior on ratio performance, it's got better heating capabilities in the competition. And much better performing product coupled with our spray foam coming out of CCM has also created a lot of interest with end users and is helping us drive a preference for our brand. So it's actually we're excited about all of those businesses and what they've done.
Garik Shmois: Okay, and I guess just one follow up. In the guide you took your CCM guidance up largely on price was there any change to the underlying assumptions on the envelope side of the CCM?
Bob Roche: No Garik they are mostly in line and those are up in price as well.
Chris Koch: Right. Commodities as they go into metal roofing and in the spray foam are just as volatile as the flat roofing commodity. So we need to get price in those as well to keep up with our flat price cost.
Garik Shmois: Okay, fair point. Thanks again.
Chris Koch: Yes. Thank you, Garik.
Operator: There are no further questions at this time. I would now like to turn the call back Chris. Please go ahead.
Chris Koch: Thanks, Zen. And thanks, everybody. This concludes our second quarter 2020 earnings call -- 2021.excuse me. And thanks for your participation. We look forward to speaking with you at our next earnings call.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.